Operator: Good morning. My name is John and I’ll be your conference operator today. At this time, I would like to welcome everyone to the DuPont Quarterly Investor Call. (Operator Instructions) After the speakers remarks, there will be a question-and-answer session period. (Operator Instructions) Thank you. It’s now my pleasure to turn the floor over to your host, Karen Fletcher, Vice President of Investor Relations. Karen, you may begin.
Karen A. Fletcher: Thanks, John. Good morning and welcome everyone. With me today are Ellen Kullman, Chair and CEO; Nick Fanandakis, Executive Vice President and CFO; and our incoming VP of Investor Relations, Carl Lukach. The slides for today's call can be found on our website, along with the news release that was issued earlier today. During the course of this conference call, we’ll make forward-looking statements, and I direct you to slide 2 for our disclaimers. All statements that address expectations or projections about the future are forward-looking statements. Although they reflect our current expectations, these statements are not guarantees of future performance but involve a number of risks and assumptions. We urge you to review DuPont's SEC filings for a discussion of some of the factors that could cause actual results to differ materially. We will also refer to non-GAAP measures and as you to review the reconciliations to GAAP statements provided with our earnings news release is available on our website. Please note that all comments about fourth quarter full year 2012 and any historical references to earnings performance will be made on a continuing operations basis and excludes significant items. Our comments about first quarter and full year 2013 including percentage changes from prior year will reference operating earnings, which excludes significant items and exclude non-operating pension and other post-retirement employee benefit for OpEx costs in all periods reference. So in other words, we’ll provide in comparative data on an apples-to-apples basis where appropriate. Schedules B and C in the earnings news release provide a listing of significant items and their impact by segment. We posted supplemental information on our website that we hope is helpful to your understanding of our company’s performance. And now it's my pleasure to turn the call over to Ellen.
Ellen Kullman: Great, thank you, Karen, and good morning, everyone. Fourth quarter earnings from continuing operations of $0.11 per share finished above our previous guidance due to the strong close of our agricultural businesses in Latin America and a solid quarter for Performance Materials. As we discussed the declines versus last year's results primarily was due to weak demand and lower prices in Performance Chemicals market. Aside from strengthen, Ag, Performance Materials, Nutrition & Health and Industrial Biosciences, other segments saw customers and industrial markets cautious than the quarter tightly managing inventories in the face of global, economic uncertainties. Our teams executed well under the circumstances and Karen will provide detail by segment. I’d like to share my perspectives on the full-year 2012 and following Nick and Karen's review, I'll be back to discuss our outlook for the coming year. 3% revenue growth for 2012 and $3.33 earnings per share from continuing operations were below plan and very disappointing to me. I expected cost to deliver solid results each and every year. In 2012, we saved $0.27 of currency headwinds and $0.19 for the forecasted drop-off in pharmaceutical royalties. We captured more than $130 million of acquisition synergies from Danisco and far exceeded our $300 million cost productivity and $300 million working capital productivity goals. We had double digit earnings growth in agriculture and performance materials, but all these accomplishments were not enough to overcome the sharper than expected declines in demand for two of our product groups, specifically titanium dioxide and photovoltaic materials. We are a leading global supplier to both markets, so the single year impact in 2012 was severe. As disruptive as this was in 2012, our market sensing work is detecting signs of stabilizing in both markets. As we begin 2013, I am confident we have the right strategies and actions in place to deliver better performance. Our company is stronger today than it was just a year ago from several perspectives. We have stronger positions in key growth markets such as agriculture, food, automotive, and energy. Our innovation engine continued to deliver strong, steady flow of new and improved products with greater value to customers. In 2012, we had a record number of new product introductions. In North America, we introduced 154 new corn hybrid and 33 new soybean varieties. These products target at local market needs bringing strong ergonomic performance and excellent yields often times under adverse weather conditions. Industrial Biosciences introduced a next-generation phytase enzyme to the U.S. Animal Nutrition Industry designed to operate enhanced performance and significant feed cost savings for animal producers with reduced environmental pollution from livestock. In our Protection Technologies business, a new light denier Kevlar AP, which was developed using our latest technology in our Cooper River plant, has been introduced in automotive tires in Europe. On the Performance Materials area, our Zytel PLUS engineering polymer was selected by a major auto OEM in India as a lighter, stronger material for charge air coolers to be used on several turbo diesel powered vehicles. Differentiated products and applications developed by our scientists around the world delivered business value for our customers and sustainable growth for DuPont. And our scientists are connecting directly with customers in our newly opened innovation centers. We now have nine centers in operation around the world, and I’m very pleased to see the ramp up in customer collaboration. These drive sales with new products and applications delivering value through innovations that can lead to growth and share gain for DuPont and for our customers. We continue to have a laser focus on efficiency and productivity across every business and function. This includes the restructuring program we launched last quarter, which positions our businesses to be more agile and profitable long-term. Financially, we are stronger than a year ago, which Nick will describe, get us lower cash balances or higher and working capital productivity, it’s improved. In a few weeks, we expect to close on the successful sale of our Performance Coatings business that will be a value creating for all parties. And we are far down in the past with successfully integrating the Danisco acquisition achieving cost and revenue synergies in excess of our initial target. Now, I’ll turn the call over to Nick and then come back at the end to discuss how we’ll be addressing the challenges and opportunities that I see for 2013. Nick?
Nicholas C. Fanandakis: Thank you, Ellen, and good morning, everyone. Let's start with the details of the quarter on slide 3. Underlying earnings from continuing operations of $0.11 per share were down $0.15 versus the prior year. This decline primarily reflects the cyclical downturn in TiO2, as well as $0.06 of lower pharmaceutical income. Consolidated net sales of $7.3 billion were flat versus the prior year. Volume increased 3% led by agriculture, which grew 11% in the quarter. From a geographic perspective, volume growth was highest in Latin America at 8%, where Ag business flourished followed by Asia Pacific at 6%. Additionally, sales in developing markets increased 8% during the quarter. For more information regarding the Company's sales by geographic region, please look at slide 4. Higher volume was offset by 2% unfavorable currency impact. Local selling prices were flat versus as value driven Ag pricing was offset by decline in TiO2 prices. Let’s turn to the corporate view of the fourth quarter looking at earnings per share variance analysis on slide 5, which is shown on a continuing operations basis. The first item I’d like to highlight is variable cost, which was $0.12 tailwind as raw material, energy and freight costs were down about 4% versus the prior year. Volume, which was up 3% in the quarter, is shown as a $0.03 decline in earnings waterfall due to the impact of lower plant utilization in certain businesses. Next, fixed cost reduced earnings by $0.12 per share. This change includes the $0.07 of growth investments in R&D and selling expense for the Ag segment, $0.02 higher non-cash pension in OPEB costs as well as additional growth investments outside of Ag. Along with taking actions to support growth, we delivered about $4 million of fixed cost productivity in 2012. And I’m pleased to point out that this far exceeds our commitment of $300 million. Moreover, for the time period 2010 to 2012, we delivered greater than $1.2 billion well above our $1 billion target. Moving on to income taxes; as expected, on a year-over-year basis income tax was a tailwind in the fourth quarter as shown in this chart. However, our full 2012 year based tax rate of 22.8% was higher than our previous guidance of about 22%. The impact of this difference was recognized in the fourth quarter and was about a $0.04 headwind versus our guidance. Lastly, reduced pharmaceutical royalties were a $0.06 hurt, a full year 2012 royalties of only $62 million. This is the last quarter that will see a significant reduction moving forward. For 2013, we anticipate in pharma royalties to be above $20 million. Turning now to the balance sheet and cash on slide 6, we ended the year with $3.1 billion of free cash flow on a total company basis versus $3.3 billion last year. The decline primarily reflects the $500 million contribution to the principal U.S. pension plan made in January of 2012, and lower net income partially offset by working capital productivity. As a reminder, there was no contribution to the U.S. pension plan in 2011. For 2012, we delivered about $400 million of working capital productivity, again exceeding our commitment to the $300 million. For the time period 2010 to 2012, we delivered greater than $1.6 billion, far exceeding our $1 billion target. We ended 2012 with net debt of $7.3 billion, which was $1.2 billion less than our position in December 2011. This decrease reflects our exceptional free cash flow performance for the year. In 2012, we paid $1.6 billion in dividends and yesterday, our Board approved our 434th consecutive quarterly dividend. Additionally, as we announced in December, we will use a portion of the proceeds from the Performance Coatings divestiture to complete a $1 billion share repurchase program in 2013, which further reflects our commitment to creating value for our shareholders. In summary the fourth quarter played out mostly as we expected, as we anticipated, the cyclical decline in TiO2 price and lower pharmaceutical income had a negative impact on the quarter’s earnings. Turning now to slide 7 on 2013, we expect sales of about $36 billion. Our guidance for operating earnings is $3.85 to $ 4.05 per share, an increase of 2% to 7% from 2012 on a comparable basis. This guidance takes into consideration the $1 billion share buyback program. We expect solid earnings growth in all of our segments except for Performance Chemicals. Last month, on our Investor Call, we shared expectations that our Performance Chemicals margin would decline 6 percentage points to 7 percentage points in 2013 versus near peak margins in 2012. Based on our current view of the TiO2 industry, the margin decline maybe 7 percentage points to 9 percentage points, and that more conservative view is now reflected in our guidance. If we were to exclude Performance Chemicals from the equation, we would expect robust earnings growth of at least high teens in 2013. Because of the cyclical decline in titanium dioxide prices is a significant headwind as we move into 2013, we expect earnings in the first two quarters to decline modestly on a year-over-year basis. If you recall, we had very strong comps for Performance Chemicals in these two quarters. On slide 8, we list our financial assumptions for 2013. Broadly speaking, we expect global growth of about 2% against the backdrop of a world economy that continues to face many uncertainties. We expect global industrial production to increase about 2% in 2013 led by China. As I’ve already mentioned, delivering on productivity is a mandate for us and our ongoing cost productivity target for 2013 is at least $300 million; this is an addition to the $300 million of savings we expect to realize in 2013 from our restructuring activities that we announced last quarter. We expect about a 5% increase in raw material, energy and transportation costs in 2013, primarily due to higher seed input costs. In summary, our market environment is a dynamic one. We’re facing a significant headwind relating to the cyclical nature of our TiO2 business, which we will manage through. Our businesses are executing well as they face a wide array of market conditions. With that, I’ll turn the call over to Karen to review the segments. Karen.
Karen A. Fletcher: Thanks, Nick. Starting with agriculture on slide 9, first quarter, fourth quarter is our smallest quarter in Ag and reflects the tail end of the Latin America's summer season, the beginning of Brazil’s [premier] season and a small portion of the 2013 northern hemisphere season. Fourth quarter sales of $1.5 billion were up 18%, with volume gains of 11%, and price gains of 7%. The seasonal TiO2 loss of $92 million improved versus prior year loss on higher sales, despite increased investments and currency headwinds. Earnings were better than expected due to stronger sales in Latin America and lower seed cost in Latin America and North America. A strong close to the year pushed us over the $10 billion mark in annual sales. This full year margins expanding by nearly a 100 basis points to 20% more than overcoming headwinds from higher seed costs and continued strategic investments in commercial and R&D activities. Taking a closer look within the segment, seed fourth quarter sale of $771 million increased 24%, despite currency headwinds, led by growth in Latin America. Our business in Brazil won big again with another year of multiple point share gain in summer corn, mixed improvement and significant price growth. Our sales teams are off to another strong start in North America and in the Safrinha corn season in Brazil. In North America, orders and prepayments for corn and soybeans are ahead of last year, and meeting our growth plan. The strength of our order book is driven by the strong performance we demonstrated under last season’s difficult growing conditions, and grow intentions to plant a similar number of corn and soybean acres as last year. In crop protection, sales for the quarter of $764 million outpaced the market with 13% growth, offsetting currency led by insecticides and herbicides in Latin America and corn and soybean herbicides in North America. Sales growth was driven by volume increases in all regions and pricing gains in each segment. We expect another year of solid growth in 2013 in crop protection. We had limited, but highly successful country launch of our Rynaxypyr insect control products in fourth quarter of 2012 and look forward to broad registrations in new markets and crops in 2013. Our launch of the (inaudible) fungicide in the United States for the 2013 planting season and continued expansion of (inaudible) will extend our growing fungicide portfolio. In addition, strong pre-season demand for our diversified corn and soybean herbicide product line continues to be driven by excellent performance results from new product introduction and a continued success of our go-to-market approach together with Pioneer. The continuing renewal of our portfolio to focus on strategic markets and strong execution of our teams with new product launches all leave us well position to take advantage of the opportunity in Ag markets around the world. Looking ahead to the first half of 2013 for the Agriculture segment, we expect significant sales increases from volume and price driving a moderate earnings increase. For the full-year, we expect sales growth in the low teens and margins will be pressured slightly as higher commodity prices and weather are increasing seed costs as compared to last year. The continuing momentum of our Ag business, strong order book and customer prepayment, and ongoing strategic investment in research production capacity to market all give us confidence that we are on track to meet our aggressive goals. Moving to slide 10 for Electronics & Communications. Sales of $622 million was down 1% with 2% higher volumes offset by 3% lower prices primarily due to lower silver cost half through. PTOI declined $80 million from the prior year, which benefited from the licensing income payment of $20 million in the development of advanced OLED. For the first quarter, we entered the peak sales will be down modestly versus prior year and PTOI will be down significantly due to softness in consumer electronics and photovoltaics material sales. On a full-year basis, we anticipate PV demand to gradually improve and forecast module installation rates to be essentially flat versus 2012. Full year PV installations are expected to be up in the U.S., Japan, and China offset by declines in Europe. The PV market has shown signs of stabilizing. However, it remains volatile due largely to industry overcapacity with uneven growth rates anticipated over the short-term. Now, let’s turn to slide 11, an Industrial Biosciences. Sales of $300 million were primarily up on higher demand for Sorona polymer for carpeting, as well as the continued growth in food enzymes in Europe. PTOI was up 29% on higher sales and the realization of synergies related to the integration of the Danisco enzyme business. Margins improved 300 basis points for the quarter and for the full year. Looking forward to 2013, we see strong demand for Sorona as residential housing improved and Sorona used growth in commercial applications. Bolstered by new technology launches, we anticipate solid demands on most enzyme segment, offsetting declines in enzyme demand related to ethanol production until producer margins improve there. For the first quarter, we expect sales to increase modestly and earnings to increase substantially benefiting from the realization of integration synergies, improved profitability of biomaterials, and new product lines. Turning now to slide 12 in our Nutrition & Health segment, sales of $853 million were up 6% split evenly between volume and price. Volume growth reflects strong demand for probiotics, cultures and enablers. Higher local prices in all regions were partially offset by unfavorable currency. PTOI was up 27% on higher sales and the realization of synergies related to the integration of Danisco specialty food ingredients business and partially offset by higher raw material cost. For the full year, margin increased about 300 basis points. For the first quarter, we expect moderate sales growth from our products group. Earnings will be essentially flat as higher as sales and integration synergies will be offset by higher raw material cost. We see margins improving as we progress through the year, as the impact of high cost raw material inventories [lessen]. Now let's discuss Performance Chemicals on slide 13. Sales of $1.6 billion were down 15% on lower volume and price. PTOI declined 54% on lower sales and lower plant utilization charges. Fluoropolymers volumes were down significantly on lower demands in Europe and the U.S. TiO2 prices were down significantly, while volumes were slightly down. In the first quarter, we anticipate sales in PTOI down substantially, primarily due to lower cyclical TiO2 prices and tough comps. On a sequential basis versus fourth quarter 2012, we expect sales in PTOI down moderately. For the full year 2013, we expect sales down moderately and PTOI margins to decline by 7 percentage points to 9 percentage points versus near peak margins in 2012. We maintain our view that the TiO2 market will bottom in the first half as underlying demand improves and producer inventory levels decline. We took action in the fourth quarter to return our year-end finished TiO2 inventory to normal level. Improvements in U.S. housing coupled with signs of stabilization in China are expected to strengthen demand. These factors point to a gradual strengthening of industry fundamentals and severe progresses. Turning now to Performance Materials on slide 14; sales of $1.5 billion were down 5%. Stable packaging market and continued steady demand in the North American and China automotive markets were partially offset by softness in the Industrial and Electronic sectors. PTOI increased 68% due to lower feedstock cost, higher volume, and mix enrichment, partially offset by unfavorable currency. For the first quarter, auto sales are expected to be down 4% versus a strong comp in the first quarter 2012. Despite this headwind, we expect sales in Performance Materials to be essentially flat with PTOI up moderately. For the full year, we expect automotive-related sales growth in North America and China partially offset by slowdowns in Europe and Japan. The volume in consumer and industrial markets is expected to grow slightly and feedstock costs are anticipated to remain favorable in 2013. On slide 15, we’ll cover the Safety and Protection segment. Sales increased 2% on higher demand for Sustainable Solutions offerings and U.S. construction products. PTOI was down $6 million primarily due to lower plant utilization related to softness in certain industrial markets and U.S. public sector. For the first quarter, we expect sales to be down modestly and PTOI to be down moderately on a year-over-year basis. However, we will see sequential improvement versus the fourth quarter. We anticipate this momentum to continue through the year with significant earnings growth on a year-over-year basis in the second half. We believe that industrial markets demand will improve throughout 2013 particularly in China. Following the Lunar New Year and leadership transition, we expect infrastructure spending to increase the rest of the year. With the continued new home construction rebound in the U.S., we saw pickup in sales of Tyvek HomeWrap in the fourth quarter and we’re anticipating this increased demand to continue into 2013. As the year progresses, we expect more consistent spending in the public sector and anticipate more fulfillment of open military tenders. Lastly, we expect the higher demand for Sustainable Solutions offerings that we saw in the fourth quarter to carry into 2013. So this concludes the segment update, and I’ll turn the call back to Ellen.
Ellen Kullman: Great, thank you, Karen. Heading into 2013, we’ve made some adjustments to our business plan, shifted resources and implemented restructuring, following that enabling our business just to grow in a slower growth environment. We see market conditions stabilizing for almost challenge segments Performance Chemicals and Electronics & Communications with upside potential if conditions improved. Our opportunities and challenges vary by region. The U.S. is experiencing a weak recovery with bright spot and pent-up demand for housing and autos. This provides growth opportunities for our Performance Materials, Safety & Protection, and Performance Chemicals segments. Growth in China is showing signs of picking up with positive implications for the rest of Asia. The general consensus of our business leaders on China, as the economy is improving and this will continue through 2013. One positive signs for our Electronics segment is the Chinese government announced plan to install 10 gigawatts of PV capacity in 2013, which compares to about 6 gigawatts of installations last year. So we’re cautiously optimistic as we anticipate the changing government, leadership at the Ministry and provincial level starting late in the first quarter. Our business in Europe appears to be stabilizing with flat GDP. We see opportunities in Central and Eastern Europe where GDP growth is expected to be 2% to 3%. Nick provided our full year guidance with moderate sales growth to about $36 billion and our operating earnings range of $3.85 to $4.05 per share. He also went through our macro and financial assumptions, so now I would like to address some of our specific market expectations. So let's start with agriculture, which affects our largest segment. We expect another very good year in terms of planting and farmer economics. Our order book for seeds is strong even ahead of last year which was exceptionally were above. We're seeing strong demand for our new products and expect to build on our momentum from 2012 with another strong year. Another high impact market is TiO2. We continue to expect the industry to remain challenged with low capacity utilization in the first half of the year followed by some recovery as demand improves particularly in U.S. housing and Asia. We continue to take out cost through ongoing productivity across the businesses including titanium ore (inaudible) as one example. Moving to automotive market, we expect car bill is up about 2% this year after a decent year in 2012 where global bills were about 6%. Europe remains soft and we expect bills to be down as much as 10% in the first quarter, but improving sequentially throughout the year. North America bills are forecasted to be up 2% for the full year, but down slightly in the first quarter versus the tough comp. We continue to leverage our innovation centers to partner with OEMs and apply our Advanced Materials in world class application development expertise to meet their challenges and performance, rate reduction, and energy efficiency. U.S. housing starts will be up and the debate seems to be whether they will surpass the $1 million mark was encouraging to see housing starts approaching a more normalized rate. Our Tyvek and Corian businesses will capitalize on housing recoveries through new products and improved cost position. In addition to market specific and customer specific plants, we’ll create value from our productivity and restructuring programs. We expect to reap benefits in terms of operational leverage and accelerating growth. These programs are tailored to each of our businesses and are focused on maximizing value creation for customers by differentially driving growth through innovation and productivity. As we begin 2013, I’m confident we have the right strategies and programs in place and that we will execute well against them. Last month we backed up that confidence with $1 billion share buyback authorization. Let me close by saying, we are planning an Investor Day on May 2. I invite you to join us here on Wilmington to learn more about our long-term strategy, our segment plans, and updated long-term segment targets. You will have the opportunity to hear directly from our business presidents and our key leaders. So we hope you can join us. So with that, Karen, back to you.
Karen A. Fletcher: Great, thanks, Ellen. John, let’s open up the lines for questions.
Operator: Thank you, and I will begin the question-and-answer session. (Operator Instructions) Our first question is from Kevin McCarthy from Bank of America.
Kevin McCarthy – Bank of America Merrill Lynch: Yes, good morning. Can you give us a sense of Pioneer’s share fluctuations in Brazil for both the corn and soybeans markets, please?
Ellen Kullman: Hi, Kevin, thanks. And yeah, we’re winning in corn in Brazil without multi-point share gain in summer corn again. We are expecting largely freeing up corn hectares maybe up 15% to 20%. And we’re experiencing strong orders for the premium season. So soy from a share standpoint is flat, and so I think our investments there paying off, where we had a very strong season as you can see from our results in the fourth quarter. And I be – here both I left out in fact with our crop protection business is having a great season in Latin America, as well led by Rynaxypyr and so overall for our Tyvek segment, we’re seeing Latin America very strong.
Kevin McCarthy – Bank of America Merrill Lynch: As a follow up, if I may, can you characterize the magnitude of inflation and seed production costs in 2013, and do you think you might be able to get enough price through to preserve margin there?
Ellen Kullman: Yeah. Well, if you see from our results in the fourth quarter, we had lowered than expected seed costs, so that’s a positive. But with what happened last year, we do expect to see obviously higher seed costs coming into the North American seeds. And I mean, if you look at it from a total company standpoint, our loss we’re citing from a company standpoint to be up about 5% and that’s still from a seed cost standpoint and TiO2 standpoint or the two drivers of that. Higher seed inputs year-over-year will pressure margins slightly, but we think with the improved yields and performance of our products out there, and we’ve been out – fall without, I guess November or December talking about 5% to 10% net price increase in North America. We think that bodes well for a strong year.
Operator: Our next question is from Chris Nocella from RBC Capital Markets.
Chris Nocella – RBC Capital Markets: Hi, yes. Just on your EPS guidance for 2013 versus the guidance given early December, you lowered the performance Chem segment, so which businesses now do you expect to be higher, or is just that you’re including the share repurchases now into your guidance?
Ellen Kullman: Yeah, we are including the share repurchase now in our guidance. And we gave kind of a soft range, low to mid, and I think you see coming in at 2% to 7%, it’s pretty consistent with that. We had some puts to take and take, we have a stronger Ag season coming through the fourth quarter. And obviously, we’ve changed the couple of segments [minorly]. But I think things occur pretty much as expected. We’re just getting a lot more specific about 2013.
Chris Nocella – RBC Capital Markets: Okay. And just on your medical outlook, you are seeing 2% global GDP growth, what seems conservative for next year? Is that number were to be higher, which businesses you think would see the most upside leverage in terms of volume and margin growth?
Ellen Kullman: Yeah, Nick.
Nicholas C. Fanandakis: Yeah, I think the macro conditions are going to drive a lot of areas in the company, but some of the key points would drive in our Chemical segment. Some of those macro conditions are going to drive some of the things around TiO2 demand and how quickly that turns. What also impact our S&P segment around the industrial side? You would see some keys there as well as. And I think Performance Materials would see an impact if you saw GDP growth more robust in the numbers that we have provided.
Operator: Next question is from David Begleiter from Deutsche Bank. Please go ahead.
David Begleiter – Deutsche Bank Research: Thank you. Good morning. Ellen, just on TiO2, what changed since December in terms of the guidance on the margin declines now in more severe obviously?
Ellen Kullman: Yeah, I'm not sure it really changed. I think it's just gotten more specific David. I mean when we were taking – and whenever you come through a turn, you've got a range about certainty and then it tend to narrow overtime. And so specifically these markets are notoriously difficult to predict, the timing and the strength of a recovery. I think we're applying it, they’re going to write-down the middle as far as what we think will happen at this point in time, got six more weeks of additional data. But a lot of this is going to be driven by what happen to the macro-economy through the first half of the year. Will the U.S. continue to improve and we have a strong North American season based on the housing starts that are predicted and things like that. I mean we’ve seen some Chinese coming forward with things like the photovoltaic infrastructure investment. We're trying to continue that type of investment infrastructure, which will help that market solidify in turn. So there is a lot of things from a macro basis that you have to expect it, and I’m not sure outlook has really changed as much as it’s got more specific.
David Begleiter – Deutsche Bank Research: And just on U.S. corn seed market share given flat plantings in 2013, do you think you can gain share in 2013 U.S. corn seeds?
Ellen Kullman: I think it's a little early to predict that. We held share last year after gaining 6 points since 2008. We have good performance from our variety that we see coming into the year, especially with the first year of the extreme product being out there. We are very excited about what we are seeing in our engagement and that’s coming through with a strong order book in prepayments this year and its all based on that right product, right acre strategy, which has really been quite an advantage for us in the marketplace.
Operator: Your next question is from John McNulty from Credit Suisse.
John McNulty – Credit Suisse Securities: Yeah. Good morning. Just a quick question on the TiO2 side, what kind of raw material relief are you starting to see and how does that play into your forecast throughout the year since it looks like you are calling for some decent relief in the margin as we get later in the year.
Ellen Kullman: Hi, Nick.
Nicholas C. Fanandakis: Hi, John. When you look at our TiO2 and primary ingredient being the ore there, we have a, as you know, a very strong unique position on our ore capability. We can consume the low grade and the high grade and make the high grade TiO2. And that puts us in a very advantage position from a raw material supply standpoint. With that said, we are forecasting our ore cost will increase year-over-year because of some of the contracts and how they are staged. But even with that increase, we are still going to be in an advantage position versus the competitive set that we deal with.
John McNulty – Credit Suisse Securities: Okay, great. And then just as a quick follow-up, it looks like with regard to the Danisco business, you’ve already pretty well integrated. I think your balance sheet is looking like it’s a pretty solid shape at this point. How should we be thinking about M&A potential in 2013 with that as a result?
Nicholas C. Fanandakis: Well, we are very happy with the Danisco integration and how well things have gone there. We mentioned in the earlier part of the announcement here that we are ahead of schedule by a full year and we exceeded the $130 million synergy that we were targeting to materialize. With the closure of the Coatings business in the first quarter here, we are going to be able to further strengthen our balance sheet to ensure that AA2 rating as well as, as you know, return a significant part of that value back to the shareholders. We're always looking for opportunities in very specific areas around Ag, nutrition and health, IB, advanced materials, but we set a pretty high bar in order to move forward in any of those sort of acquisitions, they’ve got to be very strategic, they've got to be bringing something from a technical perspective or market perspective before we would move forward.
Operator: Our next question is from Mark Gulley from BGC Financial.
Mark Gulley – BGC Financial: Good morning. You’re justifiably proud of the productivity improvements in Danisco, but can you kind of refresh what your sales growth targets are on a go forward basis, you’ve not talked about that quite as much?
Ellen Kullman: Yes. So in the Nutrition & Health segment, our sales growth targets are about 7% to 9%. We just not only finished the integration of Danisco, we are also integrating Solae. If you recall at this point last year, we bought out our minority partner and instead of operating that as a JV, we fully integrated and that’s adding to our ability to really engage our customers, application development organization there is absolutely phenomenal to deliver that sales growth. The Industrial Biosciences side, the expectation is 10% to 12% of top line growth with the opportunities we have in enzymes and obviously with Sorona with the construction market improving. And in those areas, we expect to see margin improvement as well with the full integration from the cost side and I think that we couldn't be prouder of what those teams have done to really bring our businesses in this areas and if those businesses together create more value.
Nicholas C. Fanandakis: And the other thing I would add is reinforcement, Ellen, just set around the margins. I mean if you look at this year, we’ve seen 300 basis point improvement in both Nutrition & Health and IB.
Operator: Our next question is from Jeff Zekauskas from J.P. Morgan.
Jeffrey Zekauskas – J.P. Morgan: Hi, good morning. Can you give an idea of how quickly the titanium dioxide industry grew in 2012 in volume terms, both outside of China and inside of China?
Nicholas C. Fanandakis: Well, it really tracks GDP sort of growth Jeff. When you look at this business, over the last 50 plus years, its tracked kind of GDP growth as an industry.
Ellen Kullman: So it lacked out a little bit in 2012.
Nicholas C. Fanandakis: Yeah.
Ellen Kullman: As there was destocking that occurred. China was particularly low, but again we fell in the quarter and as you can see from our results, our volume in China was less 16% driven by…
Nicholas C. Fanandakis: TiO2
Ellen Kullman: TiO2 and Electronics and some of those infrastructure investments that we see coming forward. So, this was a lagging year, a destocking year, a low economic environment year, and it always catches up at some point, because on average to Nick’s point it’s a grow at GDP. I mean, we anticipate a gradual recovery. It's not one that (inaudible). And as the year progresses and China start stabilizing, we see the continuation of what we saw on the fourth quarter, if U.S. housing comes around, these are all very positive factors for the future.
Jeffrey Zekauskas – J.P. Morgan: Do you expect to sell more TiO2 in volume terms in the first quarter of 2013 than you did in the fourth quarter of 2012 or less or the same in rough terms?
Nicholas C. Fanandakis: From a volume perspective, if you look at the fourth quarter versus the first quarter of this year, I think it’s going to be roughly about the same. I think the thing what you are experiencing more in this time period Jeff is around the pricing pressures due to the inventory levels at – as an industry in the manufactures. Now what we have seen though is the inventories at the customer level seem to be more normalized at this point, but you still have excess inventories at the manufacturer level. So I think more of the pressure is going to be on pricing Jeff versus volume.
Operator: Next question is from Mark Connelly from CLSA. Please go ahead.
Mark W. Connelly – Credit Agricole Securities (USA) Inc., Research Division : Thank you. Just two things. In Safety & Protection, PTOI was down about 6% on lower operating rates, but the segment volumes were up. Did you drawdown a lot of inventory or is there something with Cooper River there?
Nicholas C. Fanandakis :  Yeah. It’s really when you look at the utilization of Cooper River, when you look at that segment, there were certain areas or businesses that had strong performance, the housing, some of the sustainable solutions. But when you look at the Cooper River and the utilization of that and the fact that we are still not fully utilized that facility, the overhead that that’s drawing is certainly impacting the margins in the S&P business. And what we’ve said as we look forward here is Mark how we’re going to improve this? And so obviously the further utilization of Cooper River is going to be beneficial, the housing increase. We are talking about housing going up 28% next year, that’s going to be a benefit to the S&P. The benefits that we’re getting from the restructuring, a big part of the restructuring that we just did is going to be implemented in the S&P segment, and we are going to see value arriving from that as well. So those types of things are going to be bolstering that margin as we move forward.
Mark W. Connelly – Credit Agricole Securities (USA) Inc., Research Division: Okay. And…
Nicholas C. Fanandakis: Sorry. Hello,
Operator: So you might go ahead with your follow-up, Mark. I’m sorry, go ahead.
Mark W. Connelly – Credit Agricole Securities (USA) Inc., Research Division: Yeah, sorry. Since you brought it up, Sustainable Solutions is something we haven’t talked about much at all this year, and now it’s a key driver in Q4. Can you tell us what’s happening there?
Ellen Kullman: I mean, Sustainable Solutions really have two sides of safety and operational consulting business, and it has been an environmental business. It really helps company deal with their environmental streams, sulfur and things like that in a very sustainable way. And we’ve done some acquisitions Mark positions over the year and ECF was one of them, so really added to their capability. They get strong order book coming out of 2012. We’re seeing that stakeholders and based on regulatory issues around the world, companies need to utilize technologies to clean up their way stream. So the Cleantech part of it had a very strong quarter in the fourth quarter and a strong prospects going forward. So I think that came through in a really great job of broadening their base globally and really effecting very positive outcome with their customers, and I think we’re seeing that on our top line and bottom line for that business.
Operator: Our next question is from Laurence Alexander from Jefferies.
Robert Walker – Jefferies & Co.: Good morning. This is Rob Walker in for Laurence.
Ellen Kullman: Hi, Rob.
Robert Walker – Jefferies & Co.: Hi. I guess, first will be in terms of the free cash flow in 2013, what are your expectations for the pension contribution to the principal U.S. plan, as well as working capital use and any cash charges for the restructuring?
Nicholas C. Fanandakis: So as far as the pension contribution goes, the map 21 is having a favorable impact on those discount rates, and we're going to see that favorable impact certainly in this year 2013 and probably into 2014 as well. In 2013, we're not anticipating any contributions to the U.S. principal plan, we’ll still have our routine contributions that we've had in other plans. But the U.S. pension plan zero contributions are anticipated.
Robert Walker – Jefferies & Co.: Great, thanks. And then on working capital and then any cash charges for the restructuring above the $300 million number?
Nicholas C. Fanandakis: Well, working capital we are going to continue to drive productivity. One of the things that I'm very pleased to see is that, productivity is truly institutionalized within the company is in every business and it’s not only fixed cost, it’s working capital productivity. You can see that from the fact that over that three-year period, we did $1.6 billion versus that target of $1 billion. And so that work that effort Rob, is going to continue as we move forward, and we’ll continue to see value come out of that productivity gain. And on the restructuring, I don't see anything there of significance in the cash impact.
Operator: Our next question is from Don Carson from Susquehanna Financial. Please go ahead.
Don Carson – Susquehanna Financial Group: Yes, thank you. Question on Ag-Biotech R&D spending and the productivity there. You mentioned you’re increasing your growth spending on Ag in 2013. I know the biotech is roughly half year your seed R&D budget, but it appears that you've yet to discover a major proprietary biotech trade. So Ellen, is your patience running thin on this lack of progress and is the strategy one of perhaps shifting more to the in-licensing? And then I have a follow-up on in-licensing?
Ellen Kullman: Yeah, so I mean we’ve always had a growth strategy relative to biotechnology that included both development of our pipeline and in-licensing. I’ve spent a lot of time personally on it with the team. So it’s a very important part of our future. I’m excited about our pipeline and what I’m seeing coming through it. As you know, the timelines in that industry are not years or decade – industry in decades not years type of that or a decade. And I expect to see many advances coming through in the next decade. And so we’re going to gone up full meeting, I guess at the end of February, the team is going to be out, and I’m going to share our entire pipeline update with all of you. And I think to get into the details there really requires the team to do that and we hope that you can join us at the end of February for that.
Don Carson – Susquehanna Financial Group: One follow-up and that’s – inter protected soy in South America seems to be one of the major Ag, Biotech growth opportunities. I know you’ve got a seed treatment approach, but this doesn’t seem quite as applications to gene-based approach. So can you grow meaningfully in South American soy without licensing in something like impacted from Monsanto?
Ellen Kullman: Yeah, so we look pretty small in soy in Latin America. So I think there is tremendous upside for us. I think the pipeline we continue to focus on to understand how we can deliver. I think, with the breadth of the product line and the combination of what we see, I think there is opportunity. I do think seed treatments is going to be very helpful from that standpoint for the next few years, and you’re going to see biotech price of products and cost reductions late in the decade types of thing. So this is an area we can get into a lot of discussion on when we share up full pipeline.
Operator: Our next question is from Vincent Andrews from Morgan Stanley.
Vincent Andrews – Morgan Stanley: Thanks. Just looking at the page six of the press release in the Agriculture segment, you talk about stronger than expected pricing gains, I assume in Latin America. Could you just talk about what drove that relative to your expectations?
Ellen Kullman: Yeah, I mean, I think, it basically came from product mix. So, Herculex and things like that, with a higher proportion than what our expectations were and it drove that pricing from that standpoint higher.
Operator: Our next question is from P.J. Juvekar from Citi.
P.J. Juvekar – Citigroup Inc, Research Division: Yes, hi, good morning. So coatings companies are seeing their multiple expand like DuPont’s multiple has gone down, probably due to this TiO2 cyclicality. So and in longer-term, is TiO2 a core asset for you, or given that you have best-in-class asset with over flexibility and the size and the scale and expand on its own?
Karen A. Fletcher: Yeah, I mean, so, P.J., TiO2 business is a strong business from a competitive standpoint. If you take a look at our advantages, from our manufacturing process technology versus the others in the industry, we performed very well. It is a above company average performance for us on average over cycle. It is a very high performer at the peak of the cycle, and it’s a little bit below average at the depth of the cycle, but at the end of the day, it’s a strong cash generator and it performs very well. We always do on an ongoing portfolio management process, and understand how everything fits into our portfolio. But this is a very strong business, it’s a very strong cash generator. And I think we have to put it become a holistic standpoint and take a look at it from that direction. So you and we love at it on the upside of the market and we don’t like it on the downside of the market, but if you add it all up, it’s generated tremendous amount of cash flow for our company over the years.
Operator:  Our next question is from Robert Koort from Goldman Sachs.
Neal Sangani – Goldman Sachs Group Inc., Research Division: Good morning. This is Neal Sangani on for Bob. Lot of my questions have been answered, but looking to get a sense of the timing of the share repurchases and if there is any potential for taking a more accelerated route?
Nicholas C. Fanandakis:  Yeah. So, Neal this is Nick. So the timing is going to be coincidental with the closing of the Coating sale and we do still anticipate that here in the first quarter. So once that sale closes, we would then execute against the share repurchase. We would look to have that completed probably in the first half of the year would be my guess of when we will be able to execute that full share repurchase.
Ellen Kullman: John, we have time for one more question.
Operator: And we have a question from Duffy Fischer from Barclays.
Patrick Duffy Fischer – Barclays Capital Inc.: Yes, good morning. Nick, I want to go back and maybe just for Ellen as well to one of the points you’ve raised about your advantage in TiO2 being your teams play flexibility. Now, traditionally titanium is kind of been priced at parity whether you bought the core quality or the high quality, that’s changed in the last couple of years as the rutiles have gained more price than the ilmenites have. When you look forward, is that a structural change that you think persist or do you think that normalizes over the next several years?
Ellen Kullman :  Duffy, I think that’s a hard one to predict, because when is the next mine is going to open up and what’s it going to have and how can we deal with the ever core products that are going to come out of that mine or out of those mining company deal with the other core products that are coming out of that mine. In the vagaries of how those two things move together are really subject to kind of the ore that's available from the mines that exist today and when a new mine opens it kind of changes the dynamic there a little bit. We believe that with our manufacturing process technology that allows us to use a wide variety of ores that give us an advantage, because we can play that where we need to, to really develop that flexibility really gives us an optionality that another manufacturers don't have. So whether that gap narrows overtime or widens overtime, I think we strategically think of ore, it’s a very important part of how we play to execute in that business. And I think that gives us the opportunity to really earn well over the cycle first with the competition.
Operator: And this concludes the Q&A portion of the conference call. And I’ll turn it back over to Ms. Kullman for closing remarks.
Ellen Kullman: Great. Thank you very much. I really appreciate you guys taking the time to join us today and ask us the question. But I’d like to close out today's call by thanking Karen Fletcher for her past five years as Head of our Investor Relations team at DuPont. This is her last investor call and she moves to our new insight assignment as DuPont’s Chief Engineer and I know she has enjoyed working with all of you very much and she is got to really have a lot of fun working and generating a lot of value for DuPont. Personally working with her, she's really a class act and has made great improvements in our IR program and the key here. And so on behalf of the executive team at DuPont, Karen, thank you. And I want to welcome back Carl Lukach, he had an assignment in Asia-Pacific learned lot, did a lot, really contribute a lot to our growth. In Asia, he comes back with a lot deeper knowledge of the drivers that are going to create opportunity for our company. And I’m really looking forward to working with him, and to continue to deliver excellence in our IR team out into the marketplace. So again, thank you again for your interest in DuPont, and I look forward to seeing you on May 2.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may all disconnect at this time.